Operator: Good day, ladies and gentlemen, and welcome to the Akamai Technologies Incorporated First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would like to introduce your host for today's conference, Mr. Tom Barth, Head of Investor Relations. Sir, please go ahead.
Tom Barth - Head-Investor Relations: Thank you, and good afternoon for joining – thank you for joining us on Akamai's first quarter 2016 earnings conference call. Speaking today will be Tom Leighton, Akamai's Chief Executive Officer; and Jim Benson, Akamai's Chief Financial Officer. But before we get started, please note that today's comments include forward-looking statements, including statements regarding revenue and earnings guidance. These forward-looking statements are subject to risks and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information concerning these factors is contained in Akamai's filings with the SEC, including our Annual Report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking statements included in this call represent the company's view on April 26, 2016. Akamai disclaims any obligation to update these statements to reflect future events or circumstances. As a reminder, we will be referring to some non-GAAP financial metrics during today's call. A detailed reconciliation of GAAP and non-GAAP metrics can be found under the financial portion of the Investor Relations section of our website. And with that, let me please turn the call over to Tom.
Frank Thomson Leighton - Chief Executive Officer & Director: Thanks, Tom, and thank you all for joining us. Q1 was a very solid quarter for Akamai and both the top and bottom lines. Revenue in the first quarter was $568 million, up 8% year-over-year, and up 9% when adjusted for foreign exchange headwinds. Excluding the contribution from our two largest customers, revenue in the first quarter was up 15% over Q1 of 2015. Our strong revenue achievement was driven by the continued robust demand for our security services, which grew 47% in constant currency over the first quarter of last year, as well as solid performance across all of our major product lines and geographies. Non-GAAP EPS for the first quarter was $0.66 per diluted share, up 8% year-over-year and exceeding the high end of our guidance range due to our strong revenue achievement and our continued focus on efficiency across the company. Our solid performance in Q1 has gotten us off to an excellent start for the year. I was particularly pleased to see our continued strong execution during the time when we were realigning the company. As a result of the realignment, we now have three major divisions; Media, Lab and Enterprise and Carrier. Each division has its own resources for development, product management, marketing and sales. For example, the Media Division is developing products focused on video and software delivery, and they manage our customers and prospects in the media, software, social networking, and gaming verticals. The Web Division is responsible for developing our web security and application acceleration products. And they manage customers and prospects in verticals such as e-commerce, financial services, software-as-a-service, and the public sector. The Enterprise and Carrier Division is responsible for developing products for enterprise and carrier networks and enterprise security. And they manage our carrier relationships. Going forward, we will report the revenue for each division in terms of the revenue derived from customers in that division. For continuity purposes, we will also continue to provide the product-based view of revenue that we have historically reported. Jim will provide all of this data for Q1 shortly. But first, I would like to mention some of the recent highlights from the Media and Web Divisions. It's been an exciting start to the year for the Media Division, with record-breaking online audiences for major events such as the Super Bowl and March Madness. 4 million viewers watched the Super Bowl online this year, up from 2.5 million in 2015. The average bit rate was up 30% to 4.5 megabits per second in 2016, and the average viewing time was up 20% to over 100 minutes. We also delivered a major golf tournament in the new 4K format a few weeks ago. This was the first time that a major U.S. sporting event has been delivered in 4K online. The quality levels were extraordinary. Using our Octoshape Client technology, we delivered an average bit rate of 13 megabits per second, with a rebuffering rate of less than 1%, showing once again Akamai's ability to deliver broadcast quality content reliably and securely. The excellent end user experience that we are providing with our advanced video delivery capabilities was a major topic of discussion at the recent National Association of Broadcasters, or NAB Show. That's because the ability to deliver high-quality video at scale is critical to the enablement of over-the-top, or OTT, services. A common theme in my conversations with many of the world's leading broadcasters and media companies at the show was that they greatly value our ability to provide such high quality and scale, and to do so with a very high level of reliability. It is very difficult to replicate our ability to deliver online media with world-class quality, scale, and security. That's because of our unique approach of streaming content through a global network of more than 200,000 edge servers located close to end users, which allows us to bypass congested middle mile peering points, resulting in a more reliable viewing experience for end users. Our superior communication and video transport protocols, which are designed to deliver the kind of higher-quality picture that is desired by viewers and broadcasters alike. Our client side software, which is now installed on over 100 million devices around the world, and designed to greatly improve quality and scale, while also lowering cost. And our new 24/7 Broadcast Operations Control Center, or BOCC, capability for end to end monitoring of quality and fast resolution of performance issues. I'm pleased to report that our BOCC is already receiving national accolades for the level of service that it can provide to our broadcast customers. At NAB, the BOCC was selected as TV Technology's Best of Show for its design, features, cost efficiency and performance. The BOCC also won Streaming Media's Best of NAB 2016, one of only six awards the publication presented from among the 1,600-plus exhibitors at the show. Of course, it's hard to predict how fast the OTT market will grow, but we believe that we are very well-positioned to benefit from the increasing demand for high-quality video online. There are also some exciting developments to report from our Web Division. Most notably, our new Bot Manager service became generally available earlier this month. Bot Manager identifies over 1,200 (7:53) types of bots, and enables our customers to customize their response to request based on the bot type. For example, one of our government customers recently deployed Bot Manager to thwart malicious entities that were checking on the validity of stolen account names and passwords. Using Bot Manager, they were able to automatically report passwords as being invalid, when we detected that a bot was making the request instead of a human, thereby preventing the fraudulent use of stolen identities. I'm also pleased to report that we now have over 1,000 Ion customers. As you may recall, we launched Ion a little over three years ago, and it has since become the leading solution for accelerating websites and applications online. Ion is particularly well-suited for accelerating mobile apps and content being delivered to mobile devices. This is important because the mobile environment is often much slower than the desktop environment. Users expect mobile devices to be fast, and over half of all transactions on the Akamai platform now come from mobile devices. Before turning the call over to Jim, I would like to emphasize that although we have a new divisional structure, Akamai's goal remains the same as it has always been: to make the Internet fast, reliable and secure. And we are still laser-focused on solving four grand challenges for our customers: delivering video over the Internet with unparalleled quality, scale, and affordability; providing near instant performance for websites and apps on any device anywhere; securing websites and data centers from cyber-attacks that aim to disrupt their online operations, corrupt their data, or steal sensitive information; and scaling enterprise networks to handle growing cloud workloads efficiently and securely. We believe that we will continue to benefit from strong secular tailwinds such as the increasing amount of video being consumed online, the rapid proliferation of mobile devices, the growing need for cloud-based security solutions and the continued migration of enterprise applications to the cloud. And we are continuing to invest in the growth of the business. I believe that our new divisional structure will enable us to be even more responsive to our customers' needs and to bring new capabilities to market at an even faster pace than before. In summary, Akamai is off to a strong start in 2016, and I'm very excited about the substantial opportunities for growth that lie ahead. I will now turn the call over to Jim to review our Q1 financial results and to provide the outlook for Q2. Jim?
James Benson - Chief Financial Officer & Executive Vice President: Thank you, Tom and good afternoon, everyone. As Tom outlined and as we previewed at the investor summit in March, we are now managing the business in our new division structure. In an effort to make this transition as clear and transparent as possible, in addition to providing our results through this new division lens, we will continue to provide you with our financial results by the solution categories we have historically shared. Looking to top-line performance, Akamai had a strong first quarter and is off to a good start in 2016. Q1 revenue came in near the high end of our guidance range at $568 million, up 8% year-over-year or up 9% if you adjust for foreign exchange headwinds, and growth outside of our top two customers continued to be strong, up 15% in constant currency. Turning to our solution categories, revenue from our Performance and Security Solutions was $316 million in the quarter, up 16% year-over-year or up 17% on a constant currency basis. Within this solution category, we saw solid growth across the major product lines and we continued to see significant growth and demand for our Cloud Security offerings. First quarter revenue for our Cloud Security Solutions was $81 million, up 46% year-over-year or up 47% on a constant currency basis. We are pleased with how well our unique and differentiated Cloud Security capabilities are being adopted by our customers and being recognized in the marketplace. Our Bot Manager offering is a latest example of how we are innovating to expand our security portfolio to meet strong customer demand. Turning now to our Media Delivery Solutions, revenue was $206 million in the quarter, down 4% year-over-year and in line with our expectations. As we have previously mentioned, Media revenues continue to be impacted by DIY efforts in two of our largest Media customers; however, the rest of our Media business grew over 11% compared to a very strong Q1 of 2015. Finally, revenue from our Services and Support Solutions was $46 million in the quarter, up 16% year-over-year. We continue to see strong new customer attachment rates for our higher-end enterprise class professional services globally. Turning now to our new division view, as we shared in our last call, we are now managing the company in a new division structure which integrates the development, product management, marketing and sales teams into three divisions to focus on the company's Media, Web, and Enterprise and Carrier products and customers. This new customer alliance structure is designed to create tighter alignment and integration between customer requirements and product innovation while increasing the ease of leveraging Akamai's services and is intended to help us better serve our customers and accelerate growth. Under this new division construct, revenue from our Media Division was $292 million in the quarter, down 1% year-over-year or flat on a constant currency basis. The Media Division is impacted by the continued DIY efforts of our two largest customers, Media customers that I mentioned earlier. Revenue growth for the Media Division customers outside of the top two was a healthy 11%. Revenue from the Web Division was $264 million, up 18% year-over-year. We have continued to see solid growth in this customer base with particularly strong security growth of 51% year-over-year in constant currency. Lastly, revenue from the emerging Enterprise and Carrier Division was $12 million in the quarter, up 45% year-over-year. To be helpful, as we migrate to this new division reporting lens, we will continue to report the former solution category view through the balance of 2016. And even though our security revenue will now be embedded within each of the three division's revenue results, we will continue to break out total security revenue separately. You will find all these revenue results detailed in today's press release and on our investor relations website. Moving on to our geographies. Sales in our international markets represented 30% of total revenue in Q1, up two points from Q4. International revenue was $170 million in the quarter, up 24% year-over-year or up 27% in constant currency. Foreign exchange fluctuations had a negative impact on revenue of $4 million on a year-over-year basis and was roughly neutral on a sequential basis. We continue to see very strong growth in our Asia Pacific geography. Revenue from our U.S. market was $397 million, up 2% year-over-year. As we have shared with you previously, our two largest Media customers reside in the U.S. and continued to weigh heavily on domestic revenues. Outside of these two customers, revenue growth was solid across the rest of the business. Moving on to costs, cash gross margin was 77% consistent with Q4 levels, down one point from the same period last year, and in line with our guidance. GAAP gross margin which includes both depreciation and stock-based compensation was 66%, down one point from the prior quarter, down two points from the same period last year, and in line with our guidance. GAAP operating expenses were $259 million in the first quarter. These GAAP results include items such as depreciation, amortization of intangible assets, stock-based compensation, acquisition related charges and other non-recurring items. Of particular note in the quarter, we recorded $7 million in non-recurring restructuring charges for severance and impairments related to the organization realignment. Excluding these items, non-GAAP cash operating expenses were $201 million, down $9 million from Q4 levels and at the low end of our guidance. As always, we will strive to balance investments in the business to align with the expected near-term moderation in revenue growth rates. Adjusted EBITDA for the first quarter was $234 million, down $4 million from Q4 levels from the seasonal revenue declines Q4 to Q1, and up $11 million from the same period last year. Our adjusted EBITDA margin came in at 41% consistent with Q4 levels, down one point from the same period last year and in line with our guidance. GAAP depreciation and amortization expenses were $81 million in the first quarter. These GAAP results include depreciation associated with stock-based compensation, amortization of intangible assets, and amortization of capitalized interest expense. Excluding these charges, non-GAAP depreciation was $70 million consistent with Q4 levels and slightly below our guidance due to the timing of network deployments. Non-GAAP operating income for the first quarter was $164 million, down $4 million from Q4 and up $1 million from the same period last year. Non-GAAP operating margin came in at 29%, consistent with Q4 levels and down two points from the same period last year, and one point higher than our guidance given the strong revenue attainment and cost efficiencies mentioned earlier. Moving on to the other income and expense items, interest income for the first quarter was $3 million, consistent with Q4 levels. Non-cash interest expense related to our convertible debt was roughly $5 million. As a reminder, this non-cash expense is excluded from our non-GAAP results. Moving on to earnings, GAAP net income for the first quarter was $75 million or $0.42 of earnings per diluted share. Non-GAAP net income was $118 million or $0.66 of earnings per diluted share, $0.02 above the high end of our guidance range. Our better than expected earnings were fueled by higher revenues and continued efficiencies in the business. For the quarter, total taxes were included in our GAAP earnings were $38 million based on an effective tax rate of 33.5%. Taxes included in our non-GAAP earnings were $49 million, based on an effective tax rate of 29.4% and in line with our guidance. Finally, our weighted average diluted share count for the first quarter was 178 million shares, down 2 million shares from Q4 levels from our opportunistic increase in share-buyback activity and in line with our guidance. Now I'll review some balance sheet items. Days sales outstanding for the first quarter was 60 days, up one day from Q4 levels. Capital expenditures in Q1, excluding equity compensation and capitalized interest expense, were $85 million and at the low end of our guidance for the quarter. As a reminder, this CapEx number also includes capitalized software development activities. Cash flow generation continued to be strong. Free cash flow was $108 million in the first quarter or 19% of revenue, a very strong result considering Q1 is our seasonally lowest free cash flow quarter. Our balance sheet also remains very strong with roughly $1.5 billion in cash, cash equivalents and marketable securities on hand at the end of the quarter. If you factor in our convertible debt, our net cash is approximately $800 million. During the quarter, we spent $109 million on share repurchases, buying back roughly 2.2 million shares. As we mentioned in our last earnings call, the board authorized a new $1 billion share repurchase program through the end of 2018. We have approximately $960 million remaining on that authorization. And as we have discussed in the past, our overall aim is to deploy our capital to achieve favorable returns for our investors in a manner that we believe is in the best long-term interest of the company and our shareholders. Given our strong balance sheet and cash generation, this new authorization is intended to continue our multi-year capital allocation plan to offset dilution from equity compensation plans and to provide us with the flexibility to opportunistically return more cash to shareholders depending upon business and market conditions. In summary, we are pleased with how the business performed in Q1 and we remain confident in the long-term prospects of profitable growth for the company. Looking ahead, we are projecting revenue from our top two customers to decline in Q2 and possibly the second half of the year. As such, we are expecting slightly less sequential growth in the second quarter than we have historically seen. We expect Q2 revenues in the range of $566 million to $582 million. At current spot rates, foreign exchange fluctuations are expected to have a positive impact on Q2 revenue of roughly $3 million sequentially and less than $1 million compared to Q2 of last year. At these revenue levels, we expect cash gross margins of roughly 76% and GAAP gross margins of 65%. Q2 non-GAAP operating expenses are projected to be $206 million to $211 million. As I have mentioned on the past couple of calls, we have purposefully slowed down the rate and pace of head count additions and discretionary spending to align with our near-term top-line growth expectations, but we are continuing to make prudent investments in the business that we believe are necessary to support sustained long-term growth and scale. Factoring in all these items I just mentioned, we anticipate Q2 EBITDA margins of 40%. And as I continue to message, we will strive to operate the company in the 40% to 41% EBITDA range for the foreseeable future. Of course, our ability to maintain EBITDA margins in this range will be heavily dependent on several factors, including revenue volumes, possible M&A, and spending on platform capacity in anticipation of greater demand for our over-the-top video delivery services. Moving on to depreciation, we expect non-GAAP depreciation expense to be $73 million to $75 million. Factoring in this depreciation guidance, we expect non-GAAP operating margins of 27% for Q2. And with the overall revenue and spend configuration I just outlined, we expect Q2 non-GAAP EPS in the range of $0.62 to $0.65. This EPS guidance assumes taxes of $46 million to $48 million based on an estimated quarterly non-GAAP tax rate of 29.5%. This guidance also reflects a fully diluted share count of 176 million shares. On CapEx, we expect to spend approximately $90 million to $98 million in the quarter, excluding equity compensation. As always, we will strive to balance network investment against future revenue opportunity and continued network efficiency initiatives. In closing, Q1 was a solid start to 2016, and we remain confident in our strategy and our ability to execute on our long-term plans. Thank you. And Tom and I would like to take your questions. Operator?
Operator: Thank you. Our first question comes from the line of Mark Mahaney with RBC Capital Markets. Your line is open. Please go ahead.
Mark Mahaney - RBC Capital Markets LLC: Thank you. You talk about the growth in the Media segment of about 11% ex the two largest contributors. Could you talk about the trend in that growth ex those two largest contributors and how we should think about the sustainability of that growth? Is that a reasonable way to think about that segment ex the two large players going forwards? Thank you.
James Benson - Chief Financial Officer & Executive Vice President: Good question, Mark. That – actually that growth rate is consistent with the growth rates that we saw in Q4. We have kind of been in the double-digit range for a while. Sometimes it will be a little bit higher than that. As we shared in the past that sometimes growth rates in the Media business are affected by large software releases, a gaming release, or things of that nature. But I think generally speaking, we expect that we can probably operate in the low-double digits for the Media Delivery outside of those top two customers.
Mark Mahaney - RBC Capital Markets LLC: Thank you very much.
Operator: Thank you. And our next question comes from the line of Rob Sanderson with MKM Partners. Your line is open. Please go ahead.
Rob J. Sanderson - MKM Partners LLC: Thank you. Couple of – one for Jim and one for Tom. Tom, a question on cost reduction, many years of high growth and traffic volumes along with price breaks that you have been passing along, but how much has the company been able to cost reduce traffic delivery over the years? Is there a way we could sort of compare cost per bit today to, say, five years ago? And I would think the past is something like Moore's Law, but is there any way you can attempt to quantify that? And how does – do you think this compares to some of the generic CDN or some of the do-it-yourself efforts that you have seen over this timeframe? And then a quick one for Jim. Free cash flow – will Q1 be the seasonal low again this year as in the past or is there something unusual seasonally this Q1 for cash generation?
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah. To the first question, we've put a lot of effort in R&D to reduce our internal cost per bit, to deliver more bits per second per CPU, more bits per second per square foot of colo, per kilowatt of power. And then we pass on those savings to our customers. So I think as you look over time, every year we're able to offer significant cost reductions on a per bit basis to our customers. So over five years, the savings are really quite substantial. We are very competitive when it comes to pricing for large-traffic customers, and I think we are very competitive with not only the other CDNs out there, but also the do-it-yourself effort that some of our largest customers have tried to engage in. And you see this where some of our large customers have had do-it-yourself efforts in the past, and then after a few years discover that, wow, Akamai is a lot more effective at it, and charges them less than their internal efforts cost them. And so then our traffic grows again, even though they've got do-it-yourself efforts.
James Benson - Chief Financial Officer & Executive Vice President: Yeah, on the question on free cash flow, as you know, free cash flow really depends upon a couple things. One, we're not a inventory-centric company, so other than profitability, collections tends to be – receivable collections tends to be the kind of driver from quarter-to-quarter, if you see upticks or downticks. Also CapEx happens to have variability from quarter-to-quarter. But I would expect that – this will probably still remain our seasonally lowest quarter, but it all depends upon capital expenditures. And as I said earlier that if we see demand that we need to do more network deployment, we'll do that. So, I don't want to signal something and then later on if we may be a little bit lower than that – that it really depends upon CapEx investments. But I'd say based on our current line of sight, it probably will be the lowest seasonal quarter this year as well.
Operator: Thank you. And our next question comes from the line of Vijay Bhagavath with Deutsche Bank. Your line is open. Please go ahead.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Yeah, hi. Yeah, hi, Tom, Jim. Question is on your Security business. We get this question from clients a lot, saying would the law of large numbers start impacting the Security business, because it's primarily selling into DDoS, and web application security versus the broader security opportunity. I'd like to hear your thoughts there. Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Well, I'm not sure what you mean by the law of large numbers, but the attacks are certainly growing in size and sophistication to the point now where any of the traditional defenses simply don't work. You can't defend yourself by buying boxes and putting them in your data center. You can't even defend yourself by buying a clean pipe from a carrier simply because of the scale of the attacks. And that's why Akamai has been uniquely able to defend a lot of the world's major enterprises against the largest attacks out there. In addition, we're able to defend against the attacks that try to deface or corrupt a website, change the content in a way to embarrass the website owner, and also to – we can defend against the attacks where you try to steal data from the web application, like a credit card, or information about a transaction. Going forward with our Enterprise and Carrier Division, we are developing products that will protect enterprise employees, for example, from phishing, malware kinds of attacks, or enterprise data exfiltration attacks. So it's a – I think a very exciting future potential for us in security.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: A quick follow on, Tom. Is corporate video – you know, we all in big companies have these all-hands meetings, town-hall meetings where tremendous video volumes get generated in corporate networks, which is quite expensive. Would Akamai have a play there in kind of better managing or making corporate video and enterprises more efficient? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Yes, absolutely, and in fact we have a product today through the Octoshape acquisition that supports corporate videos to off-load their private network, or their corporate network, and so it gives a very high-quality experience, very secure without flooding the branch office network.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Thank you.
Operator: Thank you. And our next question comes from the line of Colby Synesael with Cowen & Company. Your line is open. Please go ahead.
Colby Synesael - Cowen & Co. LLC: Great. Thank you. Two questions if I may. The first one, I just have a point of clarification on guidance. I just want – I thought I heard you say that you thought that the top two customers could further decline in the back half of the year. I think the previous expectation was that they would trough at around 6% or – 6% or greater in the second quarter. And I just wanted to clarify what I thought you might have said during your comments on guidance. And then I have a follow-up question.
James Benson - Chief Financial Officer & Executive Vice President: Yeah, so on the guidance that – I'd say we're probably appropriately being cautious, to be frank that the – we have good visibilities within the quarter for these top two customers. I would say the visibility beyond the quarter is less, and so what we're trying to do is be cautious in what we're telling you that we certainly expect from Q1 to Q2, as we told you last time, that revenue volumes would decline for these top two customers. And I think what we're saying is that we're not 100% sure on the back half of the year, so we're being a little cautious in our projections that it could decline further. There are things that could stabilize it. There are things beyond that depending upon different features and capabilities for these two customers that could cause it to grow as well, but I'd say what we're trying to provide you is a level of cautiousness. And that's the way we're looking at it internally.
Colby Synesael - Cowen & Co. LLC: I guess to some degree that implies that these customers are on some form of month-to-month or short-term contract that they have the ability to turn on and turn off service quarter-to-quarter. Is that a fair interpretation?
James Benson - Chief Financial Officer & Executive Vice President: No, it's not. These customers are on long-term contracts, but these contracts are structured in a way that volumes can ebb and flow from period to period. There are kind of minimums that they need to hit, but the volumes can certainly fluctuate to a point. But these customers are on long-term contracts. They are not on month-to-month contracts.
Colby Synesael - Cowen & Co. LLC: Okay, great. And then just my follow-up question, I think you had been looking for a head of sales for your Web Division, and I wondered if there's been any update on that? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: We are in the process of a search there. So, no update.
Colby Synesael - Cowen & Co. LLC: Okay. Great. Thank you.
Operator: Thank you. And our next question comes from the line of Sterling Auty with JPMorgan. Your line is open. Please go ahead.
Sterling Auty - JPMorgan Securities LLC: Thanks, guys. Maybe just following up on the Media side, taking the top two customers. Curious about the visibility, you've often talked about talking with the customers around timing of software updates and different items that might move the needle in terms of volume. How would you say your visibility in the rest of the customer base looks at this point of the year as compared to last year?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. I think honestly it's similar to our top two customers as well. Our visibility within the quarter is certainly a lot better than our visibility for the remainder of the year. There're certainly things that we know that are going to occur. Things like the Olympics, things like presidential debates and things of that nature that will cause volumes. And there are certainly staged rollouts of software releases and things of that nature, but I'd say we have very, very good visibility within a three-month window. It just lessens in the back half and that's not just for the top two customers. In general, that's just the nature of the Media business.
Sterling Auty - JPMorgan Securities LLC: Got it. Thank you.
Operator: Thank you. And our next question comes from the line of Jonathan Schildkraut with Evercore ISI. Your line is open. Please go ahead.
Jonathan Schildkraut - Evercore ISI: Great. I'm going to try to sneak in two questions too. First, I was just wondering if you'd give us a little bit more color on international. It's obviously been growing very well and it's becoming a much more meaningful piece of your business. You know, it's harder to have visibility into the competitive landscape drivers, et cetera, as we look into the some of the international markets, and I was hoping you might spend a second talking about that. And then I'm curious, because we've been doing a lot of work on Internet of Things. And the more I look at it, particularly around connected car, driverless car, things that require performance sensitive information to make their way into the network, the Internet of Things is looking more and more like a DDoS attack from my seat. And I'm just wondering about your perspective for the role of Akamai and world of Internet of Things? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Let me start, Tom (sic) [Jonathan] (36:46) with obviously your comment on international growth. Our international growth, you're right, has been very strong. We grew 27% in constant currency in Q4. It's growing particularly well in our Asia Pacific geography. So we've seen very, very strong growth across our Asia Pacific markets. And as you know that when we began investing in incrementing the sales force, we were investing more in our sales resources outside the U.S. than actually in the U.S. And as we told you in the past that it takes time for a rep to ramp to productivity. And so I think you're starting to see the benefit of the investments that we've made. And so we're very pleased with that. From a competitor landscape perspective that there's still kind of broad global competitors, that you know who they are and then there are local competitors in different markets. But I'd say that we have fared very well and I think there's a significant opportunity to continue to grow internationally faster than actually in the U.S.
Frank Thomson Leighton - Chief Executive Officer & Director: And to the IoT question, the proliferation of devices and the Internet of Things represents really a great opportunity for Akamai. You know in particular, you mentioned connecting cars. We have great relationships with the world's major automotive companies. They are obviously very interested in having fast and reliable communication with their cars and the devices and they are very worried about security, as you can imagine. Not only denial of service, but application layer attacks where somebody might try to gain control of the car, corrupt information on the car, and that's a wonderful opportunity for our security services.
Jonathan Schildkraut - Evercore ISI: Great. Thank you for taking the questions.
Frank Thomson Leighton - Chief Executive Officer & Director: Thanks.
Operator: Thank you. And our next question comes from the line of James Breen with William Blair. Your line is open. Please go ahead.
James D. Breen - William Blair & Co. LLC: Thanks for taking the question. Can you just talk about the capital intensity overall, and your team spent a lot of capital in 2015 in anticipation of some of the OTT build-outs. And how that's sort of flowing through the cost structure now and how that would impact spending in the future? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Sure. So on CapEx, you're right that we were above our long-term model in last year, in 2015. We signaled that, that we were about 19% of revenue. It was all driven by incremental network CapEx. You certainly saw for the quarter, that I think $85 million was about 15% of revenue. So I think we're certainly going to be dialing CapEx down in alignment with what we're seeing here, but I expect we'll be back to our long-term model of 16% to 18%. Again, we signaled that if we see demand in the back half of the year that requires us to do more build-out, we'll do that but I expect we should be in the 16% to 18% range with network CapEx, which is the component that has the most variability, dialing back from roughly 10% of revenues last year to probably in the 8% range this year.
James D. Breen - William Blair & Co. LLC: Great. Thanks.
Operator: Thank you. And our next question comes from the line of Mike Olson with Piper Jaffray. Your line is open. Please go ahead.
Michael Olson - Piper Jaffray & Co (Broker): Hey, good afternoon. I know you typically suggest that no one major event has an impact on revenue, but isn't there likely to be some degree of favorable impact from the Olympics in Q3, just given the favorable time zone and just increased consumption of these types of events online? And then secondly, you talked a bit about competition earlier. There's been increasing chatter in recent weeks on competitive threats from Google and other players in the space. Can you just give us your take on what we're seeing there and if anything's changing in your view? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Sure. I'll take the first one and then Tom can comment on the competitor landscape, but yeah, I think we definitely said historically that there isn't any one event that is a significant needle-mover on revenue in a quarter. We've never said that we don't garner revenues from those events. And certainly events that last over multiple days, generate more revenues than events that last for a day or a few hours. So you will definitely see revenue volumes as a result of the Olympics in our results, so you will see that. But again, it's not going to be a significant needle-mover over – I would say very, very large software updates tend to be more of a needle-mover than an event like that.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah. In terms of competition, I don't see any real change in the landscape there. You're right. And you mentioned there's been chatter about Google and so forth, but that's I think what it is. The Google service is designed to provide delivery for applications that are on their compute and storage infrastructure. In that regard, they're completing with AWS and Azure, for example. And we really don't see real impact from that. As you know, we have dozens of competitors and always have. And we differentiate ourselves based on our level of performance. So if you want your applications to be faster, whether you're on Google, Azure or AWS, you would use Akamai to accelerate those applications. If you want your applications to be secure, wherever you have them hosted, you'd use Akamai Kona Site Defender and our Prolexic Routed capabilities and that will protect you from DDoS attacks and application layer attacks. And if you want your video and media delivered with very high quality, whether you're using any of those cloud services to store the content or not, again you'd use Akamai to do that delivery for you, to get the high-quality video experience. So no fundamental change in the competitive landscape at all.
Michael Olson - Piper Jaffray & Co (Broker): Thank you.
Operator: Thank you. And our next question comes from the line of Siti Panigrahi with Credit Suisse. Your line is open. Please go ahead.
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): Hi, guys. Thanks for taking my question. I just wanted to dig into your enterprise security business, the Enterprise Division now, around $12 million revenue, almost double. And you talked about Bot Manager. So first question is what sort of feedback have you got on Bot Manager? That's pretty interesting product. But also, what's your plan to expand this business? Are you planning to acquire more of this kind of tuck-in acquisition or are you planning to build in-house products?
James Benson - Chief Financial Officer & Executive Vice President: Okay. So first let me make it clear that Bot Manager is part of our web security business. And that's in the Web Division. That product is built by the Web Division. And the customer feedback there has been outstanding. The capability to identify the bot type and then tailor the response based on the bot type is really unique out there, and of high value to our customers. We have some customers that see half of their requests are actually from bots, and there's many different types of bots. Some are friendly, some are very much not friendly, and there's those that are in between. So I would say the initial customer reaction is very strong. That is a Web Division product. Now, for our enterprise security products, we don't have any in the marketplace yet. Our first product will be based on recursive DNS. That is the capability that we do have in the market through our carrier partners for home use, and we will be bringing to market for enterprise use later this year. And that's designed to protect an enterprise from malware, from phishing attacks, and from data exfiltration attacks. Now, in terms of our strategy, I think you'll see us do a lot of development organically and you'll also see us continue to make acquisitions. And as you know, recently we made acquisitions with Xerocole and Bloxx, and they are in the enterprise security space. And also we've done organic development, taking the Xerocole capability for carriers and now in the process of bringing a product to market for enterprise security.
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): Thanks for the color. Just a quick housekeeping question. How much was the DSD revenue that you moved from Media to Performance and Security this quarter?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. I want to recall, it's like $109 million. We shared that at our IR summit. It's actually available on the investor relations...
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): Yeah, but do you have anything for this Q1? How much was that?
James Benson - Chief Financial Officer & Executive Vice President: No. It's embedded in our overall results, so you can generally divide it by four. That's, roughly speaking, what the quarterly average is.
Sitikantha Panigrahi - Credit Suisse Securities (USA) LLC (Broker): Right. Thank you.
Operator: Thank you. And our next question comes from the line of Mark Kelleher with D.A. Davidson. Your line is open. Please go ahead.
Mark D. Kelleher - D.A. Davidson & Co.: Great. Thanks for taking the question. Just wanted to look at the over-the-top opportunity. It's been a couple of months since your analyst day. We're a couple months further in the year. Can you give us an update on what you're seeing there? I would kind of imply from your guidance on your top two customers that maybe that's still kind of in limbo. But just wondered if you could give us an update on what you're seeing there. Thanks.
James Benson - Chief Financial Officer & Executive Vice President: Yeah. The guidance from the top two customers really isn't related to OTT capabilities. I think, in general, there's a lot of interest in the over-the-top space. It was exciting to deliver the first major sporting event in the U.S. in 4K. And that business is growing nicely for us. I don't know of any particular fundamental change in the landscape that would cause a huge overnight increase in traffic, but I expect to have steady and substantial growth over time with over-the-top.
Mark D. Kelleher - D.A. Davidson & Co.: So, the top two customers are unrelated to your expectations in OTT? Just to be clear on that.
James Benson - Chief Financial Officer & Executive Vice President: Currently, yes.
Mark D. Kelleher - D.A. Davidson & Co.: Okay. Thanks.
Operator: Thank you. And our next question comes from the line of Michael Bowen with Pacific Crest. Your line is open. Please go ahead.
Michael Bowen - Pacific Crest Securities: Okay. Thanks for taking the question. I'm sorry, I got to beat this dead horse one more time, but I'm getting questions over the transom here. So, the 6% for the two DIY customers at the end of Q2, was that a 6% exit rate, or an average for the first half? And then, therefore, are you talking about potential decline from an average 6% or an exit rate 6%?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. So, 6% is – we shared that in Q4 that what we had said was that these two customers combined used to be about 13% of our revenues, and they have been declining. And we said that we expected that they'd probably decline to about 6% of our revenues. Now obviously, a percentage implies that you know what your other businesses are going to do. So, to some extent, there is a little bit of variability in 6%, whether it's 6%, whether it's 5%, whether it's 7%. But we expect that the revenue volumes will decline in Q2. And based on this guidance that we provided at the midpoint, that is roughly 6% of their revenues in the quarter.
Michael Bowen - Pacific Crest Securities: Okay. In the second quarter?
James Benson - Chief Financial Officer & Executive Vice President: That's correct.
Michael Bowen - Pacific Crest Securities: Okay. And then the back half could be, conservatively, a little lighter than that?
James Benson - Chief Financial Officer & Executive Vice President: That's right.
Michael Bowen - Pacific Crest Securities: Okay. Very clear. Thank you.
Operator: Thank you, and our next question comes from the line of Michael Turits with Raymond James. Your line is open. Please go ahead.
Michael Turits - Raymond James & Associates, Inc.: Hey, guys. Jim, also, can you comment on how you said that you would be limiting investments at this point? It does seem like the OpEx guide is pretty light even with EBITDA margins where they are.
James Benson - Chief Financial Officer & Executive Vice President: Yeah. I mean, we continue to make the appropriate investments in the business that we think are necessary. But, Tom and I are managing the company prudently. And we think that we want to manage a company kind of in the low 40%s EBITDA range, which means that we're scaling back investments. We're not scaling back investments that would jeopardize future growth and scale for the company, but, yeah, we are scaling back the level of investments, relative to what we were doing in kind of prior years, and you can expect that we'll continue to do that. But, again, we're still making very targeted investments. We're making targeted investments in areas to help scale the network. We're making targeted investments in areas of R&D and things of that nature. So, we are still making investments in the business, but we're just making them at a slower pace.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah. And to be clear, we are growing head count and growing the business. It's just not at the rapid pace that you saw over the last few years. So, there's still plenty of growth at Akamai, in the investments.
Michael Turits - Raymond James & Associates, Inc.: I guess, the reason for asking is, it seems, especially with everything you did in NAB just having finished and the BOCC product having rolled out. It seems as if there's a lot that can be done in terms of end-to-end value creation for broadcast. Areas you've dabbled in, I guess, well within, had some participation in the past, whether it's in ingestion, transcoding, digital rights management, content management areas of the broadcast supply chain. And wondering whether or not that's important to invest there now, and if you're ramping that up at all.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah. Now, we are continuing to make investments. That is one area that's very important for us. And we believe there is a very large future in over-the-top video. And so it makes perfect sense to invest in those areas, and we continue to do so. For example, the BOCC is an area that we talked about. Also, obviously, investing in web security, obviously investing in enterprise and carrier products, particularly enterprise products for networking and security. And you will continue to see the investment and growth there.
Michael Turits - Raymond James & Associates, Inc.: Thanks a lot, Tom. Thanks, Jim.
Operator: Thank you. Our next question comes from the line of Heather Bellini with Goldman Sachs. Your line is open. Please go ahead.
Heather Bellini - Goldman Sachs & Co.: Great. Thank you. I had a couple questions as well. I guess the first one is, I was wondering, you mentioned software downloads as a big driver. And I'm just wondering, I mean, we saw some of the very large software download last September get about three-quarters smaller than they were in the past. And there seems to be a big focus on people reducing file sizes, there's been a lot of improvements in encoding. I'm just wondering how you think about those initiatives, and how that might impact traffic volume that you might see going forward versus when the files were much larger in the past? And then I had a follow-up question.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah. I think certainly for traffic, the software downloads come in varying sizes. You're right, that in some cases, they're smaller for the reasons that you outlined. In some cases, they happen more frequently. So they're smaller, but happen more frequently. And it's not just software updates that are drivers of traffic volumes, video delivery is a driver of traffic volume, social media is a driver of traffic volumes, gaming is a driver of traffic volumes. So, software download activity is kind of but one of several growth drivers on traffic. And you'll see variability in software traffic volumes, based on frequency and size. And, what was your second question?
Heather Bellini - Goldman Sachs & Co.: Well, I mean, I guess just to follow-up on that. Encoding was the other thing I mentioned. And Facebook's Head of Network Engineering actually spoke at F8, and mentioned that because of improvements in encoding, they're actually able to reduce the size of their video files now by 20%. So, I guess, that gets the other thing. There's file sizes and software downloads, but there also seems to be improvements in encoding that might be impacting some of the file sizes of video that used to get transferred versus what maybe they were two years ago. So that's one thing that I guess, I wonder if you have a comment on. And then the other would be, I mean, clearly, everyone has asked about these top two customers, and the trajectory in the back half of the year. I guess, what I'm interested in is, 12 months to 18 months ago, there was concerns over DIY and it was always kind of talked about that you just get a better experience, which you do using Akamai. So, unlikely that these guys would take such bold steps to bring as much in house. I guess, there're some concern that we get from people that what's to stop the third and fourth largest customers that you have now from embarking down the same path? Are they just so far away from having the level of traffic at the top two that it's just not a viable opportunity for them?
Frank Thomson Leighton - Chief Executive Officer & Director: Good. Let me take those two questions. The first one is, there's always improvements in video compression technology. And I think the important thing to look at is the increase in bit rate because you need a higher quality picture, combined with the decrease in bit rate because you've got better compression. And you mentioned, a 20% improvement in compression that pales in comparison to the increasing bit rates that we're seeing because people want a higher quality picture. In fact, if you take the combination of state-of-the-art quality picture combined with state-of-the-art compression, and the CAGR of that net, for years, it was growing but at a slower rate. And now we're seeing it actually accelerate on the accumulative growth rate. So, taking the state-of-the-art compression combined with typical bit rates that people are watching, actually it's growing per minute of video watched, and growing now at a faster rate than it has in the past. And on top of that, you have people watching longer, and more content moving online. And so the net effect is actually much faster growth rate in aggregate traffic being consumed for video online. You can take as an example, the Super Bowl stats that we gave. And we're seeing that kind of growth pretty much across the board in video. Now to your third question about DIY, and, well, can that go to the third and fourth largest customers. Well, in fact, our third and fourth largest customers have had DIY for over a decade. And in fact, one of them actually sells a CDN service, yet they still use us to deliver their content for their website, and they use us to deliver their videos. And they have a very large website, and a very large video business. And they use us to deliver that, despite the fact that they actually operate a CDN service in half the last decade. The other provider uses us as well, despite in-house efforts they've run over the years. And in fact, our share of their business has increased during this same period, because they see the quality difference and the cost difference. DIY can seem like a good idea at the time, maybe they can save some money bringing it in-house or they think that, but then after a few years they discover that, oh my goodness, Akamai is doing it with a lot less cost and with a lot better performance. And so, our share has actually increased in the third and fourth largest customers. And there's not too many past, the top four, that actually can even afford to think about doing their own delivery. So, yeah, we're experiencing some loss to DIY in our top two accounts now. I think the timeframe for when that happens is bounded, as Jim says, the impact it'll have on our business. And then you'll see our cumulative growth rates return to where the norm of the rest of the business is.
Heather Bellini - Goldman Sachs & Co.: Great. Thank you.
Operator: Thank you. And our next question comes from the line of Ed McGuire with CLSA. Your line is open. Please go ahead.
Ed Maguire - CLSA Americas LLC: Hi. Good afternoon. I'm intrigued by the role that your software on 100 million endpoints is playing in your ability to rein in costs across the network. Could you talk about what you are accomplishing with that footprint of software, and whether that is actually having the desired impact of helping you rein in costs of content delivery?
Frank Thomson Leighton - Chief Executive Officer & Director: Yes. When it is actively used, it substantially decreases our cost. And we passed a lot of that savings on to our customer that's making use of it. And the usage today depends on the customer. Also, it helps us a lot with quality. In fact, we used it in the broadcast at 4K, which is very high quality levels. It really helps to have the client side software to enable that. So, it makes quality better and decreases cost. And when we use it, it's a substantial decreasing cost.
Ed Maguire - CLSA Americas LLC: Great. Thank you.
Operator: Thank you. And our next question comes from the line of Will Power with Robert Baird. Your line is open. Please go ahead.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Great. Thanks. Yeah. Just a follow up on some of the guidance commentary. Jim, I think you had alluded to limited second half visibility. And I guess, I just wanted to clarify, is that more limited this year, or is that fairly consistent with what you would normally see at this time of year as you kind of think about the second half?
James Benson - Chief Financial Officer & Executive Vice President: No, it's pretty consistent with what we've told you all along. Our visibility within the quarter was certainly much better than our visibility kind of out beyond that. As I mentioned earlier that we know of specific events, like the Olympics, like a presidential debate. And we know of scheduled activities that customers have for potential gaming releases and things of that nature. But the visibility within a three-month window is certainly much better than beyond that, but it's no different this year than it was historically.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. Okay. That's helpful. And then just maybe quickly on the security business, obviously strong growth again. Any way to quantify how important the new Bot product was to that growth, and any other color on kind of the key drivers within that segment?
Frank Thomson Leighton - Chief Executive Officer & Director: Well, we haven't really seen revenue from it yet, because we just launched it. But there is substantial customer interest in that capability, and I do expect it to start contributing to our revenues and revenue growth and security going forward. But the 47% year-over-year growth, that's from the products that we've have had before, and Bot Manager and the other products on the roadmap will help sustain that kind of growth rate going forward and help us grow revenues for the security products in the future.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Sameet Sinha with B. Riley. Your line is open. Please go ahead.
Sameet Sinha - B. Riley & Co. LLC: Yes. Thank you very much. A couple of questions. In terms of the enterprise business, you just put a senior executive in place as a General Manager there. Your revenue growth is there, but its revenue levels are still pretty small. What are kind of the key success metrics that you've put in place for this business? Obviously, you've been working on it for a couple of years. At least in my opinion, it should have been, probably could have been bigger than what we had thought a couple of years back. So, if you can elaborate on that. And the second question is, obviously, we're seeing the DIY happening at a couple of customers. What are the applications that are easy to kind of bring in-house? And in that context, can you talk about OTT, and does it have characteristics that make it very difficult to achieve in-house? Thank you.
Frank Thomson Leighton - Chief Executive Officer & Director: Yes. On the enterprise business, I think the success metrics would be around the products that we're in the process of bringing to market. So, for enterprise security that would be our recursive DNS service, which will be designed to block malware, phishing attacks and blocking exfiltration of sensitive data from the enterprise. And we'll be launching that product later this year. And so, you would look to see and we'll be looking to see the adoption rate of that capability. We'll also be bringing to market early next year our cloud connected branch product, which is enterprise networking combined with a secure web gateway functionality. And that's designed to make the enterprise network scale in a much better performing way, and in a much more cost-effective manner. And so, we would be looking to see the adoption rates there. I think the potential in both of those areas is very large, but you're right, we're at the very early stages. And we have to see how successful we are with those products in the market next year. In terms of DIY and the top two accounts, I think you would look at things that are easier to deliver. For example, software, maybe short form VOD, videos on demand, but short form. It's not OTT. And I think as you think about OTT, I don't see that as a DIY kind of thing today. It is much harder to do, particularly in the live and linear format, particularly in the higher quality that you'll want to have when subscribers are actually paying to view the content. That's a whole different game. And there's a lot you have to do. And today Akamai is in a great position to provide that quality. Just one example being the first broadcast of 4K, but, in general, sustaining very high bit rates, very low re-buffer rates at scale. And that's what you need for OTT delivery. And that's why a lot of the companies that are doing OTT are turning to Akamai to do it.
Sameet Sinha - B. Riley & Co. LLC: Great. Thank you.
Operator: Thank you. And our next question comes from the line of Greg Powell with Wells Fargo Securities. Your line is open. Please go ahead.
Priya Parasuraman - Wells Fargo Securities LLC: Thanks. This is actually Priya Parasuraman in for Greg. Just a quick one. Could you talk about the kind of traction you're seeing in the mobile performance solution set? Thank you.
Frank Thomson Leighton - Chief Executive Officer & Director: Yeah, very strong traction. And we were very pleased to see that we now crossed the 1,000-customer threshold for our Ion product, which, of course, delivers the best possible performance across all your web access, but is really focused on mobile acceleration. So, very strong traction there. And, of course, that's not surprising because as we talked about today, a lot of our customers have over half of their transactions going to mobile devices. It is a particularly challenging area for performance, particularly when a mobile device is using a cellular network, and ironically that's where users expect to get the best performance. And so, I think, that's why so many enterprises are turning to Akamai and buying Ion for their mobile assets.
Priya Parasuraman - Wells Fargo Securities LLC: Thank you.
Tom Barth - Head-Investor Relations: Okay. This is Tom. I think we have time for one more question, operator.
Operator: Our next question comes from the line of Jeff Van Rhee with Craig-Hallum. Your line is open. Please go ahead.
Jeff Van Rhee - Craig-Hallum Capital Group LLC: Great. Just made it. One real quick one for you. Sales capacity at the end of the year, how are you thinking about sales capacity additions for 2016?
James Benson - Chief Financial Officer & Executive Vice President: Yeah. I think we've shared before that when we started investing in a very, very significant way in sales a couple years ago, we were providing kind of ongoing updates around how we were doing. And then, I think what we said is that, it's kind of run rate now in the business. And that it's not noteworthy to be talking about investments of a specific amount in any particular area. You can expect that we'll continue to kind of make investments across all areas of the business, including go-to-market capability.
Jeff Van Rhee - Craig-Hallum Capital Group LLC: Got it. Okay. Thanks.
Tom Barth - Head-Investor Relations: Well, thank you, Jeff. And thank you everyone for actually a very good set of questions this quarter. In closing, we will be presenting at a number of investor conferences and events in May and June, and details of these can be found on the Investor Relations section of akamai.com. Thank you for joining us. And have a great evening.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's program, and you may all disconnect. Everyone have a great day.